Arne Møgster: It's a great pleasure for us to invite you to Austevoll Seafood Second Quarter Financial Presentation. I will start this presentation by giving the highlights of the quarter. Thereafter, I will take you through the different segments we are operating within. Britt Kathrine Drivenes will then give you the numbers more in detail, and we will end this session by giving our view on the different markets we are operating within. So, starting up with the second quarter, I would say, all in all, we have had a quite good quarter in second quarter. And to mark, obviously, some of the most important events versus second quarter last year, I would say, it's a pleasure to finally look at Peru back on track, and they are delivering a result which is more than NOK400 million better in this quarter versus the same quarter last year. It's also nice to see, I would say, overall in the salmon segment that biological performance has improved and in particular in our subsidiary in Scotland. Scottish Sea Farms has turned the ship and are delivering this quarter also result, which is approximately NOK400 million better than the same quarter last year. In addition, we also have sold two of our pelagic fishing vessels in Norway. It's not something that we normally do in our group. But main reason for that is, I would say, split. Firstly, we got a good offer on the sale of the shares. Secondly, also there is an ownership limitation in Norwegian fishing vessels, leading to -- that you need to be over 50% fishermen owner. And being a stock listed company, it's difficult to have that position as owners of fishing vessels in Norway over a longer period. So that was one of the reasons we sold it as well. And lastly also, we sold two vessels to two good owners, which is going to take good care of the vessels and also take good care of our people working on these vessels. But all in all, it gave us a gain from the sale of these shares of approximately NOK1.2 billion. So, going to the numbers, revenue of NOK8.6 billion, EBITDA in this quarter of NOK3 billion, and an EBIT of NOK2.7 billion of the quarter. If you look into the EBITDA between salmon, whitefish and the pelagic segments, and also disregard, I would say, the gain from the sale of the shares, you can also see that we are delivering more or less the same numbers from the salmon activity, and we are delivering far better from the pelagic activity in the quarter, and again, mainly explained by good fisheries in Peru versus a quarter last year where we didn't catch any fish at all. First half numbers, revenue just south of NOK17 billion, EBITDA of NOK4.7 billion, and EBIT just south of NOK4 billion. You can also see that we have a quite grown up balance sheet now with the total asset of just below NOK54 billion, equity ratio of 53%, and net interest-bearing debt of approximately NOK6 billion. And a strong balance sheet, I would say, is reflected also down in our subsidiaries. And I would say it's important in order to continue growing or getting through difficult times as we are seeing now in Peru. All in all, I would say we are delivering first half result from salmon, whitefish segments, which is just below first half last year, and the result from first half this year is more or less in line with the full year of 2023. So, again, reflects a situation where Peru is delivering NOK500 million better in first half versus same period last year. Austevoll Seafood is a lot about volumes. And this year, we are aiming to catch with our own vessels a volume of 450,000 tonnes. We are able to produce in our pelagic factories both in Peru, Chile and in the North Atlantic a volume close to 1.9 million tonnes, probably going to process and catch whitefish around 90,000 tonnes, and aiming to slaughter around 200,000 tonnes of salmon in 2024. [Technical Difficulty] Then, I will start taking you through segment by segment. I will start with the pelagic operation and also starting up with our Peruvian activity. And I would say, all in all, Peru has been through a tough period, marked by El Nino during 2023. So, low raw material intake. And of course, this has reflected also in the financial result. Coming into this year, again, I would say that the biomass detected in the research, we are more or less back to the normal level and also the quota set, which were around at 2.5 million tonnes, which I would say defines a normal season in Peru. And I would say, looking into the performance in Peru, quota, again 2.5 million tonnes compared with, I would say, practically just a trial fishery back in same quarter last year. And as you can see in the table, the raw material intake in second quarter was 237,000 tonnes versus 11,000 tonnes. And it's, of course, the main explanation why the result is approximately NOK450 million better in this quarter versus same quarter last year. A couple of good things detected or worth mentioning during the first season is the early start of the season, started on 16th of April. So, we were finished with all our catch before the end of the quarter, and also sold a volume also during second quarter, so not only a production quarter. Second thing worth mentioning is also that the fish oil yield is more or less back to a normal level, and we had oil yields passing 4% versus 0.6% same period last year. So, all in all, I would say that we have had a successful season going into third quarter also with a substantially higher stock level this year than we did same period last year, and expect that we will have a good year in Peru during 2024. In terms of second season, normally starting up in November, it's still early to say, but at least the ocean condition seems more or less at the same level, and we are expecting a normal season in second season as well and -- meaning around 2 million tonnes is our best estimate. But of course, it's subject to the research that IMARPE will do in front of the opening. Going to Chile, I would say the journey in Chile has been very positive in the last 10 years. Quota were low in 2011. And as I would say the Chilean quota has been increasing from 200,000 tonnes in 2011 to approximately 820,000 tonnes in 2024. And for the last four to five years, we have had an increase of approximately 15%. This is a quota mainly catching horse mackerel. And this year's quota is 65,000 tonnes, up from 56,000 tonnes last year. In addition, we are buying 46,000 tonnes from third parties, catching it with our own vessels. And by the end of the quarter, we had approximately 39,000 tonnes left to be caught. And this number is now close to 10,000 tonnes. So, I would say that catches this year has been progressing well, and we are aiming to have a raw material intake, which is approximately 35,000 tonnes higher in 2024 versus 2023. Then, on the other hand, we are also buying coastal fish from third-party fishermen, it's anchovy, and the volume from these vessels has been much less this year, and also the oil yield has been also lower this year, almost half of last year, meaning that both volume-wise and also yield-wise, we are having a hit on the result in second quarter. But hopefully, by the end of the year, we will recover it by the catches of raw material for frozen product in -- by the end of the year. Then, looking at the North Atlantic pelagic quota, I would say, shortly summarize the fish for fishmeal and fish oil is more or less at the same level as it was in 2023 and the fish for human consumption is -- the quota is a bit down versus 2023. But all in all, it's quite interesting to see that, for the last six years, it's been a stable quota of around 3.5 million tonnes in the North Atlantic. For Pelagia, raw material volume a bit down in the quarter versus the same quarter last year, but main reason for that is the earlier start of the blue whiting season, and we had a higher volume intake in first quarter. So, if you look at the first half, we are more or less in line in terms of volume, which was first half 2023. For the direct human consumption, I would say that this is the quarter which has the lowest activity and the main volumes from this segment is coming from North Sea herring and the main season for this segment is starting from now and ends in early December. Looking at the numbers quarter-by-quarter, more or less in line with second quarter in 2023. Revenue, NOK2.9 million, EBITDA of NOK322 million and EBIT of NOK217 million. If you -- and that's more or less in line with the same quarter last year. If you look at the first half, you can see the result is a bit down, and it's coming from the feed segments, where the margins has been a bit lower in first half versus same period last year. Then, commenting on salmon/whitefish, and I suggest that everyone look into the webcast of Lerøy to get a more detailed run-through of the performance there. But I would say, all in all, it's been promising biological development in Lerøy first half. I would say the growth is better, mortality is down, and also sea lice treatment is down versus last year, and also average rate is much higher this quarter versus same quarter last year. So, all in all, the biological performance is up, and it's a bit down on the whitefish segments due to lower quota in 2024 versus 2023. We have slaughtered around 37,000 tonnes, 5,000 tonnes in the north, approximately 16,000 tonnes in Lerøy Midt and 16,000 tonnes in Lerøy Sjøtroll, and EBIT per kilo is also acceptable I would say, with an EBIT per kilo in the north of NOK37 per kilo, NOK37.5 in Lerøy Midt and NOK13.5 in Lerøy Sjøtroll. In terms of volumes, we are maintaining the guiding we are doing on -- from last quarter, a total of 175,000 tonnes, and 47,000 tonnes from the north, 70,000 tonnes in Midt and approximately 58,000 tonnes from the West Coast of Norway. And again, approximately 18,500 tonnes coming from our Scottish activity, which is substantially up versus the tough years we had last years. And also, we are maintaining the target of 200,000 tonnes. And bear in mind, we are now entering into a quite demanding period with higher sea temperatures and -- with also normally higher biological challenges. But we are aiming to do it better this autumn comparing with last autumn. When it comes to wild catch, the situation is a bit tougher than previously. I would say the underlying performance from the catch side of this segment is quite good, but the segment is harmed by the lower cod and a particularly haddock quota. So, looking at the cod quota, it's down with 34% in 2024, haddock quota is down by 43% in 2024. It's a bit compensated, but higher prices, 23% up on cod and 45% up on haddock, but all in all, it's not compensating the drop of volume. And it's, in particular, challenging for the land-based activity since there is higher competition on the raw material and the raw material prices is going up. So then, I give the floor to Britt.
Britt Kathrine Drivenes: Okay. Moving over to the financials, and we start with this slide showing the catch purchase and farming volumes in the quarter. And this is actually summarizing up what Arne has been going through when he has presented operation from the companies in second quarter this year. And what I would like to highlight again is, of course, higher volumes in Peru. We had a first fishing season this year in the second quarter. And last year, the first fishing season was canceled after just a few days of fishery. Moving on to the key financial figures for our second quarter, and we can see that the revenue came in at just below NOK9.9 billion, up from NOK8.5 billion, and there is two main reasons for that. We had a gain from sale of shares in Br. Birkeland AS. They sold the two companies, Talbor and Br. Birkeland Fiskebåtrederi. And again from that sale of shares came in just above NOK1.8 billion for that company. In addition, you can see that Austevoll Group has increased their revenue, of course, because of a good first fishing season. And also, these two factors are the main factors for the increase in EBITDA in second quarter this year. It's up from NOK1.4 billion in second quarter last year to just above NOK3 billion in second quarter this year. Moving on to the rest of the key financial figures, and we start by talking a little bit about the income from associates, a substantial increase there. We -- it came in at NOK142 million in second quarter this year, up from NOK20 million in second quarter last year. And the improvement in earnings from this line is because Norskott Havbruk, the owner of Scottish Sea Farms, has had a substantial increase in their earnings. It's up NOK139 million this quarter compared to same quarter last year. This company had a very challenging 2023. So, it's very positive to see the strong earnings coming in this year, and of course, also caused by improved biological situation. Looking at the profit before tax and fair value adjustment, it's close to NOK2.5 billion, up from NOK775 million last year. We have to talk a little bit about tax and tax second quarter last year because the resource rent tax was implemented in Norway in May-June 2023. So, in second quarter last year, we took the implementation effect related to the biomass in sea in the beginning of 2023. And this implementation effect was above NOK1.8 billion. So, total taxes in second quarter last year was close to NOK2 billion. And this gave a negative net profit of minus NOK1.1 billion in second quarter last year and a negative earnings per share of NOK3. This year, the tax expenses, and that includes, of course, the resource rent tax, is NOK473 million and the net profit came in at just below NOK2.2 billion and gave earnings per share of NOK5.5. I just want to mention that you cannot -- it's not the tax cost this quarter is not comparable to the same quarter last year and of course because of this implementation effect. Moving on to Lerøy Seafood Group. I will not spend too much time on this. Arne has taken you through the operation in the quarter. What I would like to highlight is, of course, the slaughter volume, which is up of salmon and trout, which is up 24%. And also, the harvest weights is up from 3.9 kilo in second quarter last year to 4.7 kilo in second quarter this year. Prices for salmon has been quite volatile in the second quarter. It was very high in the beginning of the quarter and decreased substantially by the end of the quarter. Also, the cost has increased. And of course, a weakened Norwegian kroner has impacted that a lot. And feed has increased by NOK3 in second quarter this year compared to same quarter last year. Looking at the wild catch segment, the lower quotas in 2024. You can see here there is -- has impacted and there is a lower harvest -- or cod volume from the whitefish segment compared to same quarter last year. To sum up, the EBIT in second quarter this year is NOK906 million, down from NOK950 million. There is an increase in the EBIT from the salmon segment and from the VAP, sales and distribution segment, but there is a decrease in the EBIT from wild catch, which has -- which are down over NOK100 million in the second quarter this year compared to same quarter last year. Moving on to Peru to Austral Group. And here, you can see that there is a quite different to have a first fishing season and a good activity compared to last year when the season was canceled after just a few days of fishing. So, you can see the substantial increase in raw material intake compared to same quarter last year. The Austral Group has caught 100% of its quota in the quarter. And there has been an early start-up of the fishing season, 16th of April. So, they have also been able to sell some of the finished products from this production. So, the sales volumes are up compared to same quarter last year. The revenue came in at NOK485 million, EBITDA of NOK292 million and an EBIT of NOK233 million. And the improvement from same quarter last year when the EBIT was minus NOK222 million, is NOK400 million -- close to NOK450 million. The inventory by the end of second quarter is close to 39,000 tonnes. By the end of second quarter last year, it was only 3,000 tonnes. This is the inventory of fishmeal and fish oil. Moving on to Chile and to FoodCorp. You saw in Arne's slides previously in the presentation that there has been a very good development in the biomass of horse mackerel, and we had an increase also in 2024 of 15%. Our own quota and also the purchase from third-party gives a total raw material for 2024 of 115,000 tonnes, which is up from the 79,000 tonnes in 2023. By the end of June, there was -- they had a remaining quota of horse mackerel of 39,000 tonnes. Last year, they had 18,000 tonnes to be caught in second half of 2023. In addition, the company buys raw material from the coastal fisherman, this is sardine and anchovy. They have had a challenging season, so there has been a lower volume of this raw material for the company in second quarter this year compared to last year. And in addition, the fish oil yield from this production has been substantially lower. The revenue in the quarter was NOK266 million, EBITDA of NOK75 million and the EBIT of NOK61 million, and that is down from the NOK126 million in the same quarter last year. And that is because we have sold a lower volume of fish oil compared with same quarter last year. Moving on to Norway and Br. Birkeland Farming. They have their farming sites in the West Coast of Norway. And the company has harvested a little bit above 2,600 tonnes in the quarter, up 32% compared with the same quarter last year. The volume was harvested in April and May. That was the period with the highest prices in the quarter. And there has also been a cost increase for Br. Birkeland Farming, so that is up compared to same quarter last year. The revenue came in at NOK326 million, EBITDA of NOK135 million and an EBIT of NOK119 million, and that gives an EBIT per kilo of NOK45, down from almost NOK64 same quarter last year. Then, we move on to Br. Birkeland AS and the pelagic and snow crab activity, and Arne has already mentioned it, but the company sold 100% of the shares in the two pelagic companies, Talbor and Br. Birkeland Fiskebåtrederi. The cash contribution from this sale was close to NOK2 billion. And you can see that the earnings in second quarter this year is impacted by this sale and the gain from the sale was NOK1.852 billion, which we also had in our presentation from first quarter. Then, Norwegian quota for the snow crab was finalized by the end of the first quarter. So, the two-vessel fishing snow crab has had no activity in second quarter. And they will not have any activity in the second half of the year either. So, the earnings from this part of the company is -- was negative in second quarter and will be that also for second half of the year. Looking into our statement of financial position. The total asset is close to NOK54 billion. I can give some comments to the intangible assets, that is down, and that is explained by the sale of the two companies, Talbor and Birkeland, and price purchase allocation related to licenses is, of course, taking out of the figures as we sold the two companies. Working capital has also increased a little bit, and the key driver behind that is increased biomass. Sorry. And also, we have an increase in cash position. And that is, of course, also because of the sale of the shares. By the end of second quarter, we had a net interest-bearing debt of NOK6.1 billion, down from NOK6.9 billion in -- by the end of second quarter last year. We have a strong balance sheet and the equity ratio is 53%. Looking at the cash positions or the cash flow. Cash from operating activities came in at NOK1.1 billion in second quarter this year. And as I mentioned, we are tying up some working capital, and that is of course, related to the salmon activity, but also to Peru, where we have had a very good first fishing season, and we have built up some inventory of fishmeal and fish oil. Cash from investing activities is positive, almost NOK1.8 billion. And of course, again, you can see that the sale of the shares are impacting this line. We also have a cash from financing activity of minus NOK1.8 billion negative. And what we have done in the second quarter is we have paid out dividend to the shareholders of Austevoll Seafoods, but also to the minority shareholders in our other daughter companies. So, in total, we have paid dividends out of the group totaling to NOK1.6 billion. So, to end the financial presentation, we started the cash in the beginning of the period with NOK5.8 billion, and we ended the cash position by the end of the quarter close to NOK7 billion. Arne, you move over to the outlook.
Arne Møgster: Now, I will start by giving our view on the different segments we are operating within. Starting up with the fishmeal segments. And as expressed before, the fishmeal prices is often affected by the volumes from Peru and the consumption from China. So, starting up looking at the production from the largest producer in the world, you can see that total volume of fishmeal is up by approximately 50% versus same period last year and is mainly explained by the increase of volumes in Peru. And also you can see -- on the graph below, you can also see that prices is coming down as a consequence of a successful season. And it's a big gap between high-quality meal to low-quality meal, and the main buyers in this period has been China, which has more or less bought just below 90% of the Peruvian exportations in first half. Looking into the fishmeal market. Stock level is up 39% versus the same period last year, and we're also expecting that the stock will increase due to the volumes coming from Peru in third quarter. And we can also see that the daily offtakes is more or less on the same level as it was on the same period last year. If you look at the current Chinese stock prices, you can also see from the graph under that prices is coming down, but still it's favorable to do trading, where prices in China is on an acceptable level compared with what we are selling in Peru at the time being. Fish oil, I would say has a double effect. It's not only the volumes coming up, but also yield coming up, and you can see that in particular from Peru now that volume is up, by week 31, with over 1,100%. And normally, as a consequence, prices is coming down, and it's on a level of $5,000 per tonne for feed purposes and with a premium of $400 per tonne on -- in for omega-3 industry. Looking at the Atlantic salmon supply. As the last two years, we don't expect global increase or growth in volumes, building up, I would say, in general, to a strong prices also in 2024. Expect in 2025 a growth of 3.5% as it looks now, which I would say, unfortunately, is on the low level in order to develop a new market. So, I would say, developing the salmon market, we need growth and preferably growth over 5%. A different way to read this paper, but as you can see, it's been an extremely spread in prices from the beginning of the quarter to the end of the quarter, where prices per kilo has been up to NOK140 and down to NOK75 per kilo from the beginning to the end of the quarter. So, the slaughtering period is, of course, has an influence on the EBIT in the quarter. We're also blessed in a way that the EU market is very close to our production. And you see EU is increasing their consumption during 2024 versus same period last year. So, summing up, we have had a strong biological development in first half 2024. And I would say, the focused company, Lerøy has on both raw and small quality, the shielding technology they are using in open seas and also constantly looking to improve their operations. I would say, as you can see some fruit of that focus now, but still remains to harvest the benefits from that in the quarters and the year to come, I would say. Looking at whitefish, challenging operation time being and mainly due to the reduction of quota and it's also an expectation that the quota will come further down in 2025. South America, good to see that Peru is back on track. Expecting a normal season in second season of the year, meaning that it looks like we will have a good quarter or a good year in 2024 in Peru. And also, we are aiming to have a good end of the year in Chile, where we more or less only have 10,000 tonnes left to catch off our quota. Pelagic side as well, interesting period now for our human consumption segments, main season for mackerel is coming up and also for the herring. So, this is the season where Pelagia is doing their quarter on the human consumption segments. So, in the end, latest dietary advice from the Norwegian Directorate of Health, you should eat fish at least three times a week. And of course, as seafood companies, I have to emphasize that we are supporting that, and there is a lot of good products out there, so enjoy. Thank you.
Q - :